Operator: Good morning, and welcome to this morning’s conference call to discuss Crestwood Equity Partners’ Second Quarter Financial and Operating Results. Before we begin the call, listeners are reminded that the company may make certain forward-looking statements as defined in the Securities and Exchange Act of 1934 that are based on assumptions and information currently available at the time of today’s call. Please refer to the company’s latest filings with the SEC for a list of risk factors that may cause actual results to differ. Additionally, certain non-GAAP financial measures such as EBITDA, adjusted EBITDA, and distributable cash flow will be discussed. Reconciliations to the most comparable GAAP measures will be included in the news release issued this morning. Joining us today with prepared remarks are Chairman, President and Chief Executive Officer, Bob Phillips; and Senior Vice President and Chief Financial Officer, Robert Halpin. Additional members of the Senior Management team will be available for the question-and-answer session with Crestwood’s current analysts following the prepared remarks. Today’s call is being recorded. At this time, I will turn the call over to Mr. Bob Phillips. Thank you. You may begin.
Robert Phillips: Thank you, operator. Good morning and thanks to all of you for joining us. The second quarter was another important quarter for Crestwood, as we executed more critical steps in our repositioning strategy. Most important during the quarter was the sale of a half interest in our Northeast storage and transportation assets to Consolidated Edison, which led the way to a pay-down of approximately $1 billion of Crestwood debt, and positioned the Northeast assets to compete for new infrastructure projects and services in the 2017 to 2020 time period. We think those projects and services are clearly important to Northeast Marcellus producers and Northeast utilities and power plant customers. We also think there’s an incredible growth potential in these assets as demand for gas continues to grow in the region, operational storage is clearly strategic and very valuable to customers and producers, and several competitive pipeline projects in the area have been canceled or delayed recently. Second, during the quarter we cut the distribution to $2.40 per unit annually, which increases our coverage ratio to a peer group leading level of 1.7 times in the second quarter. This allows us to retain meaningful cash flow in the future to further reduce debt or invest in accretive growth projects that our commercial teams are working on. And finally, during the quarter, I think we executed our liability management plan very effectively with a successful bond tender that was oversubscribed and we delivered second quarter leverage under 4.0 times which was our target. I’m very pleased with how we positioned the partnership; now, with a stronger balance sheet and significantly more financial flexibility to pursue many of the expansion opportunities that we’ve been working on in the Delaware-Permian, the Marcellus and the Bakken regions. Now, I think most of you know that commodity prices have firmed up since the first of the year, with crude moving from a low of about $27 a barrel in early February to a high of $51 in June and back to about $40 a barrel this week. We think the crude oil markets are balancing, as supply growth has slowed down, and in many regions has actually turned over. While there is still volatility in oil, we’ve seen - we’ve recently seen a noticeable pickup in activity in our oil-focused areas. On the gas side prices have moved from approximately $2 an Mcf in early March up to $3 in early July and then back to about $2.75, $2.80 presently. That move has also triggered an increase in activity around the areas where we gather and process natural gas. We’ve seen previously shut-in production brought back on around our systems all across the industry. Arrow has seen solid drilling activity with four rigs running and Halcon production which was largely shut-in during the second quarter due to well pad fires has been returned to service. We are also very pleased that Halcon’s prepackaged bankruptcy is proceeding as planned, and we expect them to be drilling again in the second half of 2016. Good luck to those guys, they are a good customer. Barnett shut-in volumes were all brought up back on by BlueStone in the June and July period. We didn’t get the full benefit of that in the second quarter, but will in the second-half of this year. And we expect them to start drilling again when prices get over $3 an Mcf. Chesapeake’s Powder River Basin Niobrara shut-in volumes also came back on during the second quarter, as their financial condition improved. And we have a significant promise for that region over the next year or so. In the Marcellus Southwest rich gas gathering and compression system, volumes are returning to normal, as second quarter problems around the MarkWest Sherwood processing plant and those downstream pipelines have largely been remedied. All in all, we’re seeing an improved outlook for our G&P segment in the second-half of 2016. And I might add finally that with the forward curve at or above $3, many of our producers are telling us they can make good returns at a $3 level, so we’re optimistic that we should see increasing volumes in 2017 if those prices hold. On the NGL side, our business is well-positioned for a normal winter with storage inventories filling on schedule, prices in contango, and the NGL markets balancing across the industry due largely to a slowdown in supply growth, primarily in the Marcellus/Utica area. And, of course, that affected our second quarter in both marketing as well as trucking. We thank the propane and butane markets will continue to balance as we move into the winter and into 2017, which positions us well to benefit from our fully-integrated NGL marketing platform in the Northeast part of the United States, where we use truck, rail terminal and storage to capture additional margin when prices move on NGL. So we’re very pleased with how we’re positioned there for a strong second-half and a winter of 2016, 2017. And finally, we’re also beginning to benefit from our crude supply and marketing group, which has been optimizing the COLT and the Arrow facilities up in the Bakken. They had a sizeable positive impact in the second quarter. And we think they will add to our second-half 2016 performance as well. At Stagecoach, the joint venture with Con Edison is well underway. We’ve commenced joint-venture meetings, which include developing new operational and commercial strategies. The Con Edison team is great to work with. They have a tremendous understanding of the Northeast gas markets and are already having a positive impact on how we think about expanding our Northeast storage and pipeline assets as well as services. It’s great to have your biggest customer as your partner in a region of the United States that enjoys the largest U.S. gas supply base, the lowest finding and development cost, and the best potential for long-term demand growth. Producers up in the Marcellus are starting to complete that significant DUC inventory and natural gas hit an all-time peak of over 40 Bcf a day and power-plant burn earlier this summer, much of it taking place in the Northeastern part of the United States. And I might note, we have a lot of new plants being built in and around our assets and in our service area. And finally, it’s not lost on us that the delay in the constitution pipeline and the cancelation of the NED pipeline project puts us in better position to pursue customers for MARC II to PennEast. Moving on to the Delaware Permian, our Willow Lake facility is seeing increased drilling activity from the Wolfcamp and the Bone Springs. The wells are coming in, again, better than we expected. And we’re currently processing about 49 million a day compared to plant capacity of 55 million a day. That’s a new plant we expanded last year and that was largely the capital budget that we’ve had in the second-half of last year and the first-half of this year. We continue to progress plants and had extended the exclusivity agreement with a major anchor shipper to build a 3-product gathering system in that region. And we’ve previously announced that and this is just an update. We’re moving forward to First Reserve, our general partner and our largest unitholder. And they remain committed to financing the build out of that system through the previously announced joint venture structure where First Reserve will fund the initial capital commitments during the build-out phase and Crestwood capital will come in after that. And we are continuing to pursue additional gathering opportunities with other large shippers that are now looking at the forward price curve and beginning to increase the development of their properties in that Delaware Permian area as well. So all in all, I’m very excited, where Crestwood stands today. We believe we have positioned ourselves well for a strong second-half of the year. Our base business performed in line with expectations in the second quarter exclusive of that one-time property tax settlement at Tres Palacios. But for that, we would have come in right on top Street consensus, and we are certainly well on track to meet our guidance for 2016. During the first half of the year, the repositioning strategy has led to a substantial improvement in our valuation and therefore a decrease in our cost of capital. We’re not there yet, but we’re getting closer to where we want to be and where we think Crestwood should be valued. We think this gives investors much more confidence in the long-term visibility of our distribution coverage on a fully diluted basis, taking into account the PIK preferreds, which convert to cash pay in 2017, and it absolutely positions Crestwood to be more competitive to capture growth opportunities in the areas that we have been working on and talking to you about developing new projects. So with that, happy to turn it over to Robert, who will take you through the second quarter, talk about the big improvements on the balance sheet and wrap it up for you and move into Q&A. Robert?
Robert Halpin: Thank you, Bob. As Bob discussed in his remarks, we announced a number of very important strategic steps around our first quarter call, designed to improve the financial position of Crestwood and materially re-position the company to better execute our long-term growth plans to create long-term value for all of our stakeholders. During the second quarter, we executed on a number of those strategies and are now positioned as one of the most financially sound players in our peer group. Focusing on our second quarter results, adjusted EBITDA totaled $107 million in the second quarter of 2016 compared to $133 million in the second quarter of 2015. Distributable cash flow totaled $71 million compared to $98 million in the second quarter of 2015. For the second quarter 2016, we declared a distribution of $0.60 to our common unitholders, driving distribution coverage for the quarter at 1.7 times or 1.4 times if our Class A preferred units were currently paying cash distributions. We remain committed to providing unitholders visibility to strong distribution coverage, balance sheet discipline, and cash flow stability supported by our diverse portfolio of assets. Now for review of our segment results, in our Gathering and Processing segment, segment EBITDA totaled $59 million in the second quarter 2016 compared to $66 million in the second quarter of 2015. Year-over-year gathering volumes were down approximately 21% and 5% sequentially driven by limited activity on our Marcellus, Fayetteville and Barnett systems. Our Arrow system continues to be a bright spot in the portfolio, as producer volumes continue to hold, given the enhanced economics of this acreage position relative to other crude oil players across the country. Average crude oil, natural gas and produced water volumes increased 3%, 4% and 10% respectively in the second quarter 2016 compared to average volumes in the second quarter of 2015. Producer development on the Arrow system remains active with four rigs currently operating on Crestwood’s acreage. In the second quarter 2016, 13 wells were connected to Arrow with 30 additional well connections anticipated in the second half of 2016. In the Barnett, BlueStone has returned all previously shut-in wells to production as of July 2016, as we are now operating under our new 10-year fixed-fee and percent of proceeds gathering and processing agreement. We remain encouraged with the volumes coming back online and expect to see uplift in gathering fees in the third quarter 2016 due to recent improvements in natural gas prices. In our Storage and Transportation segment, segment EBITDA totaled $45 million in the second quarter 2016 compared to $61 million in the second quarter of 2015, when compared to second quarter 2015, segment EBITDA during the second quarter of 2016 excludes the 65% share of June 2016 earnings for our Stagecoach Gas Services joint venture with Con Edison and includes the one-time adverse impact of $6.3 million of property taxes at Tres Palacios in response to a final court ruling for property tax disputes for 2012 and 2013 tax years. During the second quarter 2016, natural gas storage and transportation volumes averaged 1.5 Bcf a day compared to 2.2 Bcf a day in the second quarter of 2015, reflecting lower production volumes in the Northeast Marcellus supply region due to reduced completions and shut-in volumes resulting from low gas prices in the first quarter 2016. COLT Hub contributed a 5% higher EBITDA in the second quarter 2016 versus the second quarter 2015, as a result of higher recognized take-or-pay revenues from volume deficiencies under our customer contracts. In our Marketing, Supply and Logistics segment, segment EBITDA totaled $10 million in the second quarter 2016 compared to $16 million in the second quarter of 2015. Segment EBITDA declined primarily as a result of a $2 million lower contribution from our trucking operations, and a $4 million non-cash loss on commodity inventory related derivatives. Now to expenses, year-to-date through June 30, 2016, O&M and G&A expenses, net of unit based compensation and other significant costs are down $5 million versus the first half of 2015. And if you excluded the one-time impact of the additional property tax at Tres Palacios, our year-to-date 2016 O&M and G&A expenses are down $9 million. We are proud of our team’s efforts to maintain first class customer service and safe operations, while still remaining on track to achieving our full year 2016 cost savings objectives of $10 million. Now turning to the balance sheet, as of June 30, Crestwood had approximately $1.6 billion of debt outstanding, including $1.5 billion of fixed rate senior notes and $139 million outstanding under our $1.5 billion revolving credit facility. This represents a reduction in total long-term debt of approximately $950 million from the first quarter of 2016, primarily as a result of execution of our deleveraging strategy from the formation of our Stagecoach joint venture with Con Edison. As a part of that strategy, Crestwood completed a tender offer for approximately $325 million in aggregate principal amount of senior notes due 2020 and 2022 for approximately $313 million of total cash proceeds. Going forward, we will continue to watch the market and evaluate incremental opportunities to repurchase additional bond throughout the year. As of June 30, 2016, Crestwood’s leverage ratio was 3.99 times, and we remain very focused on exiting 2016 with a leverage ratio below 4 times. In closing, I am very pleased with the steps we took in the second quarter to reposition Crestwood. We now have the financial flexibility and the balance sheet capacity to further enhance the competitive positioning of our asset footprint, and bring a disciplined approach towards future growth projects. We remain committed to providing our investors with visibility to strong, long-term distribution coverage, and a conservative balance sheet. Given our year-to-date results, we are confident we will deliver full year results within our 2016 guidance ranges, and we look forward to executing on a strong second-half of the year. With that, operator, we’re now ready to open the lineup for questions.
Operator: Thank you. The floor is now open for questions. [Operator Instructions] Our first question is coming from Andrew Burd of J.P. Morgan. Please proceed with your question.
Andrew Burd: Hi, good morning. First question is what needs to happen to get the Delaware-Permian JV over the finish line at this point? And what does that project look like now versus how it was originally envisioned?
Heath Deneke: Yes, hey, this is Heath Deneke. So, I guess, two points, I think we are virtually ready to go with First Reserve in terms of formation of that joint-venture partnership. I think largely what we are waiting on is our primary anchor customer is kind of going through their development planning process. And as soon as we get a better line of sight and we expect that relatively soon, we believe that we are going to be in a position to kind of finalize the scope and move towards closing the transaction. Largely, just them kind of getting their head around what their 2017 drilling program is going to look like.
Andrew Burd: And did you extend the exclusivity agreement for the terminal and pipeline that were originally announced too or was it just the Tristream system?
Heath Deneke: Well, the deal includes the terminalling facility, and so the exclusivity arrangements have been extended for all.
Andrew Burd: Okay, great. And then switching to the Northeast, I think you had mentioned that recent competitor pipe cancellations in the Northeast may have reinvigorated interest for some of your projects. Can you just dive into that a bit further? And kind of what stage of the process are you seeing? Or are you in for soliciting commitments for projects up there? Is it still on early stages?
Heath Deneke: Yes. I mean, we’re very actively in discussions with the market both Crestwood as well as our joint-venture partner, Con Ed. We certainly continue to be optimistic. Certainly, the cancellations have left some of the producers in the area short capacity to achieve their drilling and development plans. But in addition to that, you still have the demand side of the equation, utilities and power generation of customers that are eager to kind of expand their access to growing Marcellus supply. So we think the combination of two really setup well for us. And again, we’re still in the, what I would kind of call, the marketing phase. But we’re continuing to make progress and really are optimistic about our opportunities out there.
Andrew Burd: Okay. And final question, in the Marcellus/Utica NGL logistics business, what needs to happen there to alleviate some of the competitive pressures that you’ve been seeing? Is it just higher prices and rising tides flips out boats or is there something else?
Robert Phillips: Bill, can you answer that?
William Gautreaux: Yes, Andrew, this is Bill. Most of the competitive pressure we’ve seen in that market is really on transportation over capacity. I mean, most of the other business segments in NGL have performed pretty consistently with the exception that the fourth and first quarter of 2015-2016, you had this kind of historical warm weather. And so that affected the business somewhat across the board. But so the - to summarize I mean, the biggest headwinds are kind of overcapacity on transportation, really due to the build-out of all the new processing facilities, getting pipeline connected and the expansion of rail loading facilities. And then secondly, the market has slowed somewhat just because of the NGL production curve has slowed relative to what the forecast were in couple of years. But we don’t see a big headwind in that business. It’s really the transportation segment that’s been the most challenging.
Andrew Burd: Great, thank you for taking my questions.
Operator: Thank you. Our next question is coming from Selman Akyol of Stifel. Please proceed with your question.
Selman Akyol: Thank you. Good morning. Just a couple quick ones, can you quantify, I guess, the impact from the fires, and then, also BlueStone had been up in running a full quarter, what the uplift would have been from those two items?
Heath Deneke: Yes, sure. This is Heath again. I guess, we had a couple of areas that were impacted by fires - well-pad fires and the Powder River as well as in the Arrow system. At Arrow, the impact was roughly 10 million to 15 million a day - I’m sorry, 10,000 to 15,000 barrels a day of crude. And I think that had on average, it came back on line, during the second quarter on average probably had about 7,000 to 10,000 barrel a day impact to our second quarter results. In the Powder River, the pad fires had roughly - I think it was around 14,000 to 15,000 Mcf a day that were impacted and again, that largely was back in line in the - during the second quarter. What was the - I’m sorry, what was the other question?
Selman Akyol: In terms of just BlueStone, if they had been up and running, the entire quarter?
Heath Deneke: Yes. I think, so if you just kind of compare where we are in July relative to kind of our average full quarter, we’re up 10 million to 12 million a day. I think all of the wells have been shut-on - or all the wells that were shut-in have been turned on. But we continue to expect to see some increases in production, not necessarily from drilling in the near term, but they are kind of upgrading their SCADA control systems to be able to remote, automate a lot of their plunger systems and optimize gas lift. And so they continue to expect us to see modest increases in production over the course of the next quarter or too.
Selman Akyol: All right, and then, I guess, given the improved balance sheet in your diverse footprint, I guess, where are you thinking you like to invest? I mean, should we just think about it all being in the Permian, in the Delaware JVs as we go through 2017. Are there other areas you might be looking as well?
Robert Phillips: Yes, hey, Selman. This is Robert. I think that when - as we’ve talked about publicly, we clearly have a couple of key commercial development opportunities that we’re working towards. When we think about allocating capital towards growth, I think we’ve communicated clearly our two highest priority regions being our Northeast assets with our partnership with Con Edison and in the Permian basin, in the development opportunities we see there with our partners in First Reserve. So those are the two most eminent areas where we have projects, line of sight to projects that we would expect to be devoting capital towards in the 2017 to 2019 type timeframe. Above and beyond that, I think that the Bakken is kind of our area third area where we continue to see smaller expansion, both on expansion opportunities around our existing Arrow footprint, and some of the optimization strategies around COLT. But those are the three areas, the two largest being the Permian and the Northeast with our joint venture with Con Ed.
Selman Akyol: All right. Thank you very much.
Operator: Thank you. Our next question is coming from Charles Marshall of Capital One. Please proceed with your question.
Charles Marshall: Yes, good morning, everyone. I was hoping you could provide a little bit more color regarding the growth opportunities up in the Northeast with your Con Ed JV. I mean, could you, I mean ballpark range it for us, what type of CapEx program are you contemplating over the next couple of years with that JV? Could you provide any color there?
Robert Halpin: Yes, I think, Charles, at this point, as we continue to progress our opportunity set with Con Ed, I think, we’re not in a position to give any full clarity today, in terms of the scope of capital and expected contribution. I think, we’ve been fairly open about the types of opportunities that we’re pursuing with MARC II and some of the power facility connections, but in terms of giving full definition at this point, I think we are going to wait to further progress those projects with our partners and come out to you when we have with full clarity to give.
Charles Marshall: Okay, I understood. I guess, switching gears to Willow Lake, and that’s obviously showing a nice ramp in volumes, I think it’s running close to 90% utilization after the expansion. I mean, is there potential room for more capital spend behind that plant, to increase capacity given that it’s running at such a high utilization currently?
Heath Deneke: Yes, we think so, I mean, the acreage is really just fantastic acreage. You look at the Wolfcamp and how that stacks out from a cost-to-produce standpoint, we expect to see production to continue to grow, and we’re all over brining some additional processing solutions and gathering solutions to the table to kind of help increase the system’s reach and the production behind it.
Charles Marshall: Got it, and then just lastly for me, I mean, if I look at the COLT Hub, I mean, you guys obviously had a really strong quarter both in the volumes and on the EBITDA, I mean, where do we see that going from here? I mean, I know there are some incremental bolt-on connections to DAPL that you guys highlighted in the earnings release, but I mean, it’s a bit lumpy in the first two quarters of 2016, I mean, can you kind of help us - where we should expect that to kind of trend the balance of 2016, if you can kind of provide a runway there on volumes and EBITDA expectation?
Heath Deneke: Yes, I mean, I think for the balance of 2016, I mean, we have a very solid contract take-or-pay portfolio. So I think for the rest of 2016, we don’t - we wouldn’t expect to see much deviation from what we’ve - what our first half performance has been. Certainly when we look long-term, I mean, we’re fully aware of the headwinds and the near-term challenges that the crude-by-rail facilities have. What I would highlight as it relates to the DAPL facility as well as the comments Bob made with our - in our crude marketing business is that, we are repositioning to where we can self-perform and optimize around that asset and not just be dependent on loading of barrels on unit trains that we could actually aggregate supply, we can provide storage and blending services, and through connections with DAPL and others in area. We expect to be able to continue to optimize and generate revenues beyond just the crude-by-rail loading capability.
Charles Marshall: Got it. I appreciate the color. Thanks, guys.
Operator: Thank you. At this time, I’d like to turn the floor back over to Mr. Bob Phillips, for any additional or closing comments.
Robert Phillips: Thanks, operator, and thanks to everybody for joining this morning. I know that a bunch, you want to jump to the Williams call at 8:30, so our target was to finish in 30 minutes and we’re right on track. Let me just close quickly, we are really pleased with where our balance sheet is, we’re in very solid shape, we’ve got excess DCF throughout the year and next year to invest, or further reduce our debt with. There will be no more asset sales. We have absolutely no need for equity. We’ve got good partners in all the regions. We operate First Reserve in the Delaware-Permian; Con Ed in the Northeast; Brookfield in South Texas around Tres for Mexico gas and LNG. We’re excited about the projects that we’re developing in each of those regions, and I think, Robert in the finance team will feel very good about our ability to finance some of those projects. Charles, sorry, we couldn’t answer the question about the Northeast more, but it’s going to take a while for that to play out. But the good news is we’ve got good strong investment great partners in those projects, and we’re absolutely satisfied we’ll be able to finance those properly when those Northeast Storage and transport projects come. We’re absolutely on track to hit our guidance in the second-half of 2016. And I’m also pleased with where we are commercially. The pay-down of debt, the revitalization or reset of Crestwood, if you will, in the second quarter has allowed our commercial teams to be a lot more aggressive in the areas that they’re operating. And I’m confident that we’re going to deliver some new projects in the second-half of 2016 that will refill our backlog of capital projects in the 2017, 2018 and 2019 time period. So that’s the strategy, that’s our focus. We’re working hard every day and we appreciate all our investors hanging with us through the last several quarters. I know, it’s been pretty tough on everybody. But I think, we’ve certainly turned the corner here at Crestwood and thanks to all of you for joining us today.
Operator: Ladies and gentlemen, thank you for your participation. This concludes today’s teleconference. You may disconnect your lines at this time and have a wonderful day.